Operator: Good morning, good afternoon, good evening, ladies and gentlemen. Welcome to the Samsonite International 2024 Third Quarter Results Conference Call. Please note that this event is being recorded. I would now like to hand the conference over to Mr. William Yue, Vice President of Investor Relations. Thank you. Please go ahead, sir.
William Yue: Thank you very much, operator, and thank you very much, everyone, for joining the call this evening. To begin with, we have our CEO, Kyle Gendreau, who will make a few opening remarks, after which our CFO, Mr. Reza Taleghani, will go deeper into the financials before we go to Q&A. Without further ado, we'll have Mr. Gendreau begin with some opening remarks. Thank you very much.
Kyle Gendreau : Okay, thanks, William, and thanks, everybody, for joining. I guess if you're joining from Hong Kong, I hear there's a typhoon. So everybody stay safe with that. Real quickly, I'm starting on Page 5. As we anticipated going into Q3, our top-line sales were impacted by softer consumer sentiment, and we're comping, as we were in Q2, comping against a very strong period last year record Q3 of last year. Importantly, our margin profile remained high in the quarter. So let me walk you through some of the details. Our net sales of $878 million with the decrease of 6.8%, compared to an exceptionally strong Q3 last year, but importantly, still up 21% in 2019. Global consumer sentiment was softer than we anticipated. We had anticipated a softer Q3, were a little bit softer than what we anticipated, particularly in China. And we're impacted by an elevated promotional environment across all of our markets, but particularly in India, as we were indicating on our last call. Importantly, we're seeing an improving trend as we go into Q4, and we're seeing sequential improvements month to month as we navigate Q4. Gross margin for the quarter came in at 59.3%, 30 basis points below where we were at Q3 of last year, and importantly, that's really driven by mix, Asia mix, and to me mix. I'm a little softer. All regions, from a margin perspective, are continuing to perform very well. We remain disciplined on our fixed expenses. Our Q3 fixed SG&A at $216 million was relatively unchanged from Q3 last year, but as a percentage of sales with slightly lower sales, the percentage was roughly 200 basis points higher than where we were in Q3 of the prior year. Our adjusted EBITDA of $155 million represented an adjusted EBITDA margin of 17.6%, down 270 basis points really off of the SG&A and margin points that I've just raised. And importantly, our cash flow remained very strong, $94 million, up $5 million from Q3 of last year. When we look at Q3 in comping against last year, as we were seeing earlier in the year, we're clearly seeing a Q3 we're comping a very strong period last year where revenge travel really was in play. The chart on the left of the page really shows what we're talking about. So you can see we're up 20.8% to 2019. We're down 6.8% versus last year, but last year was up 22%, really a record result. When we look into last year, a lot of that was driven by all regions delivering growth, but Asia delivering outsized growth. If you remember, in 2023, Asia had a lag effect of recovery. So our Q3 numbers for Asia last year were up almost 45%. And we had really extraordinary demand in China, up 73% in Q3 of last year versus 2022. Our net sales in China for Q3 of this year really the back of a softened consumer sentiment within China decreased by 14%. And really this kind of macro environment that we've seen carrying to China, particularly on the upper end and luxury space of the business, we can see and feel in our business as well. Global consumer spending was softer as we went into Q4. We had started to feel at the end of Q2 last year. We're definitely facing promotional environment, as you'd anticipate, as everybody came back into inventory. But despite these challenges, I think a real important focus we've had is on maintaining margins. And I think you can see and feel that in our gross margin and overall financial profile for the quarter as we manage through that. And then one important note in Q3 is our Samsonite brand remains definitely more resilient, particularly in North America, where it was up 3.5% in Q3. Our Tumi brand was particularly impacted by a slowdown in the premium and luxury retail sector particularly in the United States and Asia, where we saw slower traffic and slower spend on the -- from the consumer side. But within Europe, Tumi continue an upward trend as we continue to penetrate and push say within Europe as well, and that was up 7%. On Page 7, I think this is an important slide to get a sense for really a couple of things. One, our sales really correlate well with passengers effectively travel. The blue line is our sales and the red line is what we've seen in global passenger traffic, and you can see the dip with the pandemic and then the recovery that we've seen. And importantly, when you look at '22 and '23 you can see some outsized growth in our business from a recovery perspective. And I would say this is really this moment of Revenge Travel that we were seeing last year. And we really outperformed what was happening from a recovery perspective. We're seeing some normalization this year really this comp effect that we're talking about for our 2024 numbers. But when we look ahead and we look at the forward indicators for travel, which remain very positive. If you look at this trend, it will calculate to approximately 5% growth per year on the out years. And as you know, we have a very strong history of overachieving this trend. And I think we're set up to do exactly that as we move into the next year. If I move to Page 8 and just give you a regional lens, and Reza will cover some of this in the back too. But just from a regional lens perspective, what we're seeing. Asia was mostly impacted or most meaningfully impacted off of, as I indicated, a very strong moment last year. Asia for Q3 of last year was up 45%. That really many markets starting to turn on, particularly China turning on where China last year, Q3 was up 76%. China this quarter is down 15% off the back of this really meaningful step-up. And then we've had pressure in India. We are feeling pressure in India last year, and this really speaks to the promotional environment, particularly in India where it's been very aggressive, and that's impacted our India business as well. And our India business for the quarter down 24%, and we're feeling sort of that in the quarter last year as well. The blend of that is driving a big piece of Asia being slightly off from where we were last year, which was really a tremendous recovery. North America, as you know, started to recover earlier. And so when you look at North America, we're down around 7.8%. Within that number, our Samsonite business is plus 3.5, really speaks to the resilience of Samsonite brand in that premium space in the market. In a market that was recovering largely in '22 with a bit to go in '23. But within Asia, we also have the effects of Tumi, which was down 14% quarter. Really shadowing the effects that we've seen in lots of luxury and premium branded products where traffic has been down and sentiment has been a bit lower. And that's noticeable in this Q3 North America number. Europe very strong relative to sentiment. So we're down slightly 1.7%. Last year, we still had some recovery going. But again, Europe had recovered largely in '22 and carried a bit into '23. And by the time we're in Q3, that recovery has started to settle out. And this really a function of Samsonite. So you can see our Samsonite business was down slightly around 2%. American Tourister a bit more, down 8% as that entry-level consumers feeling more of kind of the pressures for inflation. But Europe was up 7%, as I just said, and really on the foundation of us continuing to penetrate and grow that brand within Europe as well. And Latin America has continued a strong trend. We're up 13% -- almost 14% for the quarter still continues to quite well in Latin America, real opportunity to continue to grow our size and scale within the Latin America business, and that continued even with softer sentiments. From a brand perspective, just quickly, there's a lot here. I won't cover all of it, but you can see for Samsonite, again, less impacted than the other brands. We had a strong number last year, up 20%, down 2% this year year-to-date, plus 3%. So it gives you a sense for how Samsonite is performing. And as I said, North America was positive. Importantly, our Samsonite numbers for Q3 '24 are almost 40% up versus 2019. This really speaks to this amazing journey had with Samsonite and really the elevation that we've been achieving across all of our regions with this brand. Tumi is a little bit of a different story. If you remember last year, we were coming back into inventory. And so we saw a lot of the recovery for Tumi last year start in Q2 carrying into Q3. And you can see our last year numbers were up quite tremendously, almost 30% up off of this kind of recovery and the Tumi brand coming back into inventory. Now we're down 8.9% this year. Year-to-date, we're down just shy of 3%, still up from 16% and a lot of that is really being driven by what we're seeing in North America and a bit in China for Tumi, as I said, offset by the growth that we've been seeing within Europe for Tumi. And then American Tourister is a bit of both stories. You can see that we still had some recovery going on in American Tourister for last year, still really a tremendous number, still up comfortably versus 2019. But this year, down 15% off of a consumer that's feeling a little bit more of the inflationary pressures. And this is also the space where we're seeing more meaningful competitive discounting within the marketplace, particularly India, India's numbers largely fall into this American Tourister camp. So you can see the impact of that within the quarter. Just quickly from a brand perspective, again, just reminding Samsonite is up almost 40% to 2019. You can see the strong recovery off to the right of the page versus last year, it was up 20%, were down slightly for the quarter, down 2.2%. And you can see the makeup within the region. So as I said, North America, positive growth, 3.5%, very strong results and continuing. Asia, which had -- as I've like circle this, if you look at '22 to '23 quarter, up almost 60% this is a surge in recovery that we're seeing in Asia and surge recovery that we're seeing in China last year. And you can see that's moderated this year, slightly down 10% off of general sentiment being a bit softer. Europe, a bit of a similar story, a bit of a stronger recovery last year, up 14%, slightly down this year, 1.9%. I think, considering sentiment inflationary pressures, that's a good result for Europe in relative terms. And then Latin America for Samsonite, up 19%, even higher than what we were seeing last year. That just continues to broaden our penetration within Latin America. So for Tumi, I'm on Page 11. We definitely had a softer Q3 in North America and Asia. Offset, as I've said earlier of growth in Europe, and actually very good growth in Latin America, as that brand starts to further penetrate within Latin America. Within the U.S., you can see up 28%, that's up much differently than we're seeing for Samsonite. This is the Tumi business coming back into inventory. But more importantly, we've seen traffic and sentiment down within Q3. And then for Asia, you can see the surge last year, 43%, down slightly 6%. It's down less than U.S. because we continue to penetrate. We have real opportunities to grow retail within Asia for Tumi, and we continue to do that. We continue to move forward with that, which has offset some of the softer sentiment. And we see real opportunities to continue to do that. I'll go through some of the direct-to-consumer retail that we've been pushing for the business and that will be a big driver for definitely Asia Tumi. And the reason you see Europe the way is a function of that. We've been very active in opening and expanding our footprint for Tumi within Europe as well. And again, overall, Tumi continues to be up 16% to where we were in 2019 and up tremendously from last year or from '22 to '23. American Tourister, as I said, a bit more impacted by promotional activities. All the brands are experiencing but definitely within American Tourister, we can see it. You can see in North America down 27% off of a pretty strong number last year. Europe's got a meaningful -- I mean, Asia has got a meaningful up last year as Asia was recovering up almost 40%, down 16%. A lot of that's being driven by India within the Asia business. Europe down just a bit. This is sentiment for sure, within the American Tourister and competitive pressures. And Latin America, across all brands continues to grow as we continue to penetrate up 6%. And on balance, American Tourister managing well considering the competitive pressures ends up just shy of 20% to 2019 stay. Just shifting on the focus on direct-to-consumer. So as you know, we have the ability to grow our business from a DTC perspective across both selective retail openings, and I'll cover that and also driving our e-commerce sales. These are year-to-date numbers, our year-to-date DTC is up 3% through September. DTC e-commerce, these are e-commerce sites that we're running up 7.3% and up in every single region. I'll cover that in a second. Our retail growth overall, up 1.2% and driven by 83 net new stores since September of last year, and I'll give you a breakdown of where that is. Offset by a bit of a softer comp, 2.9% comp. And this is a sentiment that we're talking about. It has a bit to do with the surge in demand last year, but it's also softening consumer sentiment that we started to feel in Q2 carrying into Q3. Our wholesale numbers decreased by 2.6% year-to-date. And I think importantly, as a mix perspective and we look at our DTC journey as a percent of our sales, that's up 100 basis points, approaching 39% and from roughly 38% last year. And I'd expect that, that will continue to grow as we outsize growth in our DTC business, both e-commerce and direct-to-consumer. Within our DTC e-commerce business, we continue to invest across all regions and brands. Our DTC as e-commerce as a percent of sales is up 70 basis points, so approaching 11%. I'd expect that to rise as we continue to push the business. And as I said, all regions, you can see on the bullet to the right all regions or all regions delivering growth across the business from a DTC perspective and some outsized growth in Latin America, where we've actually really started to push and penetrate our direct-to-consumer digital business over the last two years. On the DTC retail growth perspective, we are very calculated and carefully strategically selecting store openings in key markets. You can see a footprint of the globe here and where we've opened with particular focus within Asia, in Europe, you can see the impact of Tumi store openings within those two regions, 17 stores. We see opportunities to continue to open new Samsonite stores, so that's north of 30. A bit more calculated in North America, some Tumi openings, some Samsonite openings, but in a very disciplined way. And Latin America has opportunities to grow with 6 Tumi stores and 11 Samsonite or other stores there. We have other brands that we're operating as well. And all of that feeds into a really good overall direct-to-consumer strategy with a balanced view on driving our DTC business. Just a few examples. I won't dwell on them, but you can see on Page 16, this is a relocation of a Tumi store within a Plaza. This is our Lenox store and this is a store that starts to embody something that we're exploring and expanding within our Tumi fleet, which is expanding the square footage of some flagship stores in key cities. And this is one of the first ones we're getting a very good read. And what this really allows us to do is elevate consumer engagement and really optimize store assortment and performance. And so you can see from the pictures that don't really do justice to get into the store and see this footing. And what you'll see is us tactically open some of these flagship stores in key cities all of which I think we're getting very good early reads. We've opened one in Tokyo, we have another one in Tokyo open. We have another one identified for the U.S. We've got a great story identified for Shanghai. And I think these will be very brand elevating and also allow us to really broaden the engagement with consumers and broaden the offerings that we're selling within the Tumi business. So that's off to a good start. As we said earlier, we continue to penetrate Tumi within Europe, so on Page 17. And you can see store openings, this is the Tumi in Helsinki, Finland great location, great store. This are the type of opportunities we have in Europe to further penetrate the brand, all with great success and results as we open these stores. They very quickly ramp and you should expect and see more of these for us within Europe as well. And this is just one example. We continue to open Samsonite stores within Europe. This is a store opening in Berlin, Germany, really an amazing store. And it's really a good piece of driver in our business within Europe to open selectively stores in the right locations. And that will continue for us as well. Within Asia, we're driving expansion, both Samsonite and Tumi. This is a Tumi store in Shanghai that's off to a very good start and you can get the sense for the store and the fit out and the consistency of the brand imaging as we open stores across Asia. More to come across China, definitely more to come within Shanghai as well. And then lastly, on the store, this is a Samsonite store in Singapore. This is Suntec City. I happen to hold my Townhall here six months ago to really showcase the store, which is a testament to not just an amazing store flagship store within Singapore, but also a message on sustainability in a large part of the store and the elements within the store from fixtures and recycled content and lighting and everything that goes into creating a really sustainable store, as play in the store. So if you happen to be in Singapore and Suntec City. I highly recommend you check the store out and this store is off to a great start as well and a great location. And there'll be more of that to come within Asia as well on the Samsonite side. And then just lastly for me before I turn it to Reza, just our responsible journey. We continue to push the envelope here and really make progress. We got a press release out at the beginning of November announcing our near-term science base climate target. We're well underway there. This is focused on making sure we continue the use of 100% renewable energy in our own operations. But more importantly, reducing our Scope 3 emissions from purchased goods by 52% by 2030 from a base year of '22. And we're on that journey, and a big piece of that will come from how we use materials in our product. That's where a large part of our emissions come from and significantly increasing the recycled content used in our materials and this is working, it's playing out. I was in China a handful of weeks ago visiting aluminum recycled factory. These -- this makes a huge difference as we incorporate and recycle content, and it's a big piece of how we reduce our carbon footprint on a go-forward basis. We're partnering with our suppliers in a meaningful way. They're all on the journey as they need to be. And they're excited as we are about what we can achieve as far as reducing our impact on the planet. And so that continues. I'd recommend taking a look at that press release, which gives you some really good insights on what we're doing on that front. And so with that, I'll turn it to Reza and then I'll come back at the end.
Reza Taleghani : Thank you so much, Kyle. So we are on Page 23. So I'm going to go through the quarter and the year-to-date numbers in greater detail. As Kyle said, the sales environment was definitely more challenging than we had anticipated in the quarter. We are counting a very strong quarter of last year, which was up 21.2%, but we were down 6.8% in the quarter. And there were definitely competitive pressures in select markets. India is one that we discussed as well as other pockets as well. The gross margin has held up fairly strongly even though we were down about 30 basis points to last year at this time. That's largely due to the mix shift. Overall, despite the competitive pressures, I think we've done a very good job in terms of managing the gross margin. And that's worked this way to an EBITDA number, which is down $39 million quarter-over-quarter. EBITDA margin did decrease 270 basis points, as Kyle mentioned. That's largely the flow-through from the sales environment and there was a 10 basis point increase in advertising as a percentage of sales as well. As we'll see in the subsequent pages, we've continued to maintain discipline around our cost structure and expect that to continue to pay dividends as we go forward. Net-net, the adjusted net income was down $46 million, which was a flow-through from the EBITDA as well. On the next page, on Page 24 looking at the financial highlights. Fixed SG&A expenses were $216 million in the quarter, which were roughly flat to last year. That's despite the net addition of 83 company-operated stores year-over-year. So those stores are performing as we talked about in Kyle's section as well. The advertising expense was $56 million in the quarter, it represents 6.3% of net sales, that's $4 million less than Q3, which was -- and we're taking a proactive step in terms of adjusting advertising as we go to Q4 as well as we continue to evaluate the evolving market demand that we see. We generated very strong free cash flow $94 million in the quarter. That's a $5 million improvement despite the sales environment being more difficult than last year. The net debt position stood at just over $1.1 billion as of September. That's compared to $1.39 billion as of September of last year and that's after returning $222 million to shareholders. As most of you will recall, we paid the distribution -- the annual distribution to shareholders. We reinstated that and paid $150 million outstand and we completed $72 million of share repurchase as well so far against our share repurchase program that we announced earlier in the year. Net-net, leverage stood at 1.68 times that is a slight uptick from the last time, but that's after having made these distributions to shareholders, which we think is the right thing to do in the current environment. Very strong liquidity, still over $1.4 billion of liquidity. We have $744 million available under the revolving credit facility. So we feel very good about that. And as I just mentioned, we have so far repurchased approximately 30 million shares at a cost of $62 million through the end of the quarter. And we continue to proceed with our buybacks in Q4 as well when we come out of blackout. On Slide 25, the year-to-date September results. As you can see, net sales is down $88 million, which is basically roughly flat compared to what we're looking at last year, down 60 basis points in constant currency terms. Gross margin at 59.9% compared to 59.1% versus last year, so continuing to maintain that very good discipline around gross margins despite some of the promotional activity that we see from competition. Adjusted EBITDA coming in at 18.4%, it's down $40 million compared to September of last year year-to-date. That's largely due to a decrease in net sales and a slight -- and the gross profit impact and a 10 basis point increase in advertising as a percentage of sales as well. And that works its way into net income, which is down $43 million year-over-year. On Slide 26, just to focus on the gross margin point. Gross margin has been impacted by the regional sales mix. But if you're looking at it in any given region, we're continuing to maintain very good discipline around it. Overall as you can see, it's a meaningful impact in terms of what we've done in terms of resetting the gross margin profile similar to what we've done with our fixed cost base as well. So even though in the quarter, it was down 30 basis points, we still feel very, very good in terms of where we stand in terms of gross margin and expect that level to continue going into the remainder of this year as well. We're very tightly managing fixed SG&A on Slide 27. As you can see, in absolute dollar terms, we've remained roughly flat over the last five quarters or so, as a percentage of sales. Obviously, there's been an uptick, just given the sales decrease that we're showing in the quarter. As we move forward, you should expect that the dollar amount will grow. Obviously, we've looked at some additional store footprint that we're looking at. But also there is inflation that's happened since 2019. We have 2019 for referenced on the page. We're got going on five years now. And so as you think about next year, you should think that the dollar amount will increase, but as a percentage of sales when it rebounds, we should be keeping that under control. On Slide 28, adjusted EBITDA margin was down compared to the prior year, but we still maintain an efficient cost structure. So structurally, I think we feel very good about where we stand. But obviously, there is a decrease in the quarter just as a flow-through of sub sales impact that we've seen. And then now we're looking at the year-to-date by region on Slide 29. So if we're looking at it across the top of the page, Asia is down in constant currency terms, 2.7% year-to-date. North America, down 3%. That's the combination of the Samsonite and Tumi business. Tumi is obviously impacting that number as we've seen some of the luxury sector be more impacted negatively as compared to the Samsonite brand that Kyle alluded to in his remarks. Europe showing very positive results, up 2.3% constant currency versus 2013 in year-to-date terms. And Latin America structurally has shifted and up 18.2% of very strong results for that region as well off of great results last year as well. On Slide 30, we're looking at the diversity of our product mix. We're continuing to build on the gains we've had on the non-travel side. So last year, obviously, we saw a surge in revenge travel, so that travel component did increase last year. As we enter kind of more normalized terms when we have new product introductions, which also on a few slides coming up, the mix has started to shift. So there's been an improvement in terms of what we're doing on the non-travel mix. And I'll give you just a flavor for that a little bit on the next few slides. So as we think about non-travel, we're looking at casual bags, backpacks, work bags, et cetera. So looking at Slide 31, you can get a sense in terms of the Ecodiver collection that we've talked about in the past as well, both a top seller both in terms of sustainability, angle that we're trying to build on as well as some of the business bags that we're seeing. Obviously, Tumi has historically been very strong in non-travel here with Samsonite, especially with our European design teams, where we're increasing our penetration in the market as well. Looking at Slide 32, we're continuing to invest, even though we had a slight decrease in advertising, we are continuing to invest behind the brands. This is an example with Tumi and our global ambassador, Ka-young Mun, which has helped launch our Voyageur Leather and 19 Degree Frame collections. You should expect us to continue to invest in brand advertising as we go into next year, even if we do have a slight decrease as compared to last year right now. On Slide 33, as we look at the balance sheet. Obviously, we feel very good still about our leverage profile, even though there's been a slight uptick in it. We -- our net debt is down $91 million year-over-year due to the strong free cash flow generation that this business is able to maintain very strong liquidity, and we feel very good in terms of our working capital, which we're going to cover on the next slide as well. On Slide 34, looking at the working capital in an environment where sales have been a little bit under pressure in the quarter. We continue to work down our inventory. So if you're looking at it year-over-year, almost a $62 million improvement in inventory levels and our working capital efficiency, as we have said in previous quarters, is coming into line with historical levels as well. So we feel very good about that as well. In terms of CapEx, we're fairly disciplined in what we've been doing. We have said that we want to make sure that we refurbish our stores, so we continue to make the investments for the medium term that we need to assure a good footprint in terms of our DTC growth. But that's not -- but we're very disciplined in terms of how we approach that. So on Slide 35, you'll see that we have just shy of $62 million of year-to-date CapEx, the $29 million of that has been focused in terms of refurbishing the retail fleet or in terms of new stores that we're looking at. We have also invested behind our manufacturing and supply. As you know, roughly on any given quarter, were about 15% of our production is in-house at our own factories that we have and we have made some investments in both R&D in terms of the material science side in terms of the rock skin material that we built in-house as well as some other supply chain improvements. So for instance, our Vidalia facility for Tumi, we've expanded the distribution center in Georgia and that was some of the CapEx that we invested in this year as well. With that, let me turn it over to Kyle for the outlook, and then we'll come back for Q&A.
Kyle Gendreau: Okay. Thanks, Reza. I think before I look, I think I might make it overview statement based on what we've just presented. So I think importantly, when you look at our prior -- our numbers versus prior year, first off, we're comping against a very strong period. Q3 last year, was a record year for us. You can see the recovery we were seeing in Asia, up 45% year-to-date, up 70% last year to this year. And so you can see this kind of tremendous or the year before. And -- but on top of that, we're definitely seeing consumer sentiment come under some pressure within markets. We see that improving as we step into Q4, but we definitely were feeling that in Q2 and Q3. And my sense is that will continue to improve, but will be part of our story for Q4 and probably carrying into Q1 as well. I think importantly, for us, overall, our market share remains very strong. We're not losing share in our business and continuing to drive all of our brands in a meaningful way against that backdrop. On relative terms, when you think about the results, very strong and up significantly to 2019 and factoring in not just the comping, but the sentiment, I think the results relatively positive when we think about it. But we clearly, in Q3 felt some of those pressure points on top of us. We're seeing an improving trend as we go into Q4. So you will see sequentially, as I said earlier, that trend will continue to improve in Q4. Importantly for us, travel trends, not just for this year, but the outlook for travel trends importantly, as I showed in an earlier slide, remained very strong. And as you know, we have a historic track record of over and delivering against the travel trends. And you can see the correlation from the slides earlier on how we're performing. And you can just look at the forward indicators to get a sense for what we'll be able to achieve as we move forward. And then for me, and Reza importantly, our financial profile, our improved financial profile, Reza covered some of that on his slides, really remains intact. And our strong cash flow, very much intact. You think about this year, and Reza just covered it on the cash flow. We had $150 million in dividends. We're leaning in on share buybacks and we still reduced our net debt close to $100 million. And that speaks to the real kind of asset light and calling a strong cash-generating capabilities of this business. And that's very much intact as well. From an outlook perspective, just quickly, I'll cover through this. Travel trends, as I said, we expect to remain robust over the next several years. And we'll continue to drive long-term growth for our industry and importantly, for our business. 2024, the comparison to a strong prior year has definitely impacted our growth rates. But also sentiment has as well, and we can see that in certain of our markets. But the overview for the full year sales remained relatively unchanged from the last earnings call. We expect the full year to end up approximately flat on a constant currency basis versus '23. As I just indicated, we're seeing an improving trend in Q4. We can see it across each of our regions. And we expect some of the benefits of anticipated improvement in consumer sentiment in China particularly through economic stimulus. And we felt that and see that in our business in Q4 for China as well as a more favorable year-on-year comp relative to Q3. So as we step into Q4 and we step into a more normalized next year, I think the comping will be more normalized versus this year had some unusual comping from the previous year. In 2025, we expect our annual sales growth, as I was just saying, to resume to a more normalized base as we continue to invest in the business. We're investing in driving new product innovations, we're investing in channels as we covered and product category expansion as Reza covered, and we look to optimize marketing spend and elevate our brands and really drive sales. And all of that will continue. We've been continuing to do that this year, you'll see more of that next year on a more normalized basis as well. We remain very focused on driving profitable sales growth through our higher-margin brands, channels and regions, supported by disciplined expense management. You can see that in the presentations that Reza made. You can see the strength of our margin. You can see the elevation we've achieved in brand margin and elevation in our -- in all of our brands across our profit profile. We have real confidence, and you can start to see and feel that from us and our ability to maintain robust margins in the near term and importantly, to deliver positive operating leverage and margin expansion in the long run. We can clearly see that, and hopefully, you can feel that as well. We continue to leverage our asset-light business model, with this business generates cash, and you can see that here. And I just covered this, which is we -- our net debt is down on top of us returning cash to shareholders. And it allows us to have continued strength in driving organic growth, continued strength in returning cash to shareholders and to deleverage our balance sheet on a go-forward basis. It's one of the strong attributes of this business is the model that we have. We've made great progress on responsible journey and more to come. You can see it in the press release we just made on our science-based target. As you've heard me indicate before, we will transform this industry from a sustainability perspective, and we're well on our way in that journey. And then lastly, just as an update, we -- our preparations for a dual-listing of our company securities in the United States continues to progress. Our board and us and the management team believe this process will enhance value creation over time for our shareholders by importantly, increasing trading volumes and making our securities more accessible to investors, U.S. and globally. So we continue to work to move in that direction for the business. So with that, I will open it up for questions, Williams. And thanks, everybody, for listening.
William Yue: Great. Thank you very much, Kyle. And operator, can you please open the floor to questions.
Operator: Thank you, William. Ladies and gentlemen, we will now move for questions. [Operator Instructions] Our first question comes from Anne Ling with Jefferies. Please go ahead. Thank you.
Anne Ling : Hey, hi. Thank you. Hi, management team. Yeah, so a couple of questions here. Kyle, you mentioned just earlier that for year 2024, you expect sales for the full year. So if I deduce that it means that for 4Q, you're talking about like slightly higher than the mid-single-digit growth, if I'm correct. I just want to confirm that. And maybe if we are comping for a lower comp of -- in 4Q '23. But maybe you can share with us by different markets, how each of the market has been performing so far based on what you are seeing. And you just mentioned also about China that you're seeing some improvement because of the stimulus policy. And what else are you seeing better volume for your high-end products? Or any information will be interesting, yeah. Thank you.
Reza Taleghani : Thanks for those questions. Yeah, I mean, your math is correct, obviously. So if we're looking at flat sales for the year, roughly, approximately speaking, that you can do the math and it looks into the single digits, as you noted. It is an improvement over Q3, I think, is the most important then. So you should probably look at it on the lower end of that range is what we would say. All regions are performing. So as you look at it, I think that's probably the most important thing is as we're looking at the trend from Q3 going into Q4, you're starting to see all of the regions getting better. Obviously, it's a different pace. So the Asia region, we're monitoring that right now. We're looking at China specifically as well as India. India is still under pressure, but if you're looking at China, the trend is starting to get a little better as you're looking at it compared to last year.
Kyle Gendreau : We've seen a very good at Double Eleven. So in November, we've seen that. Again, we are a top performer for Double Eleven within these sites, but also the growth versus last year really close to double digit for us year-over-year.
Reza Taleghani : That's a good indicator of what we're seeing in China. And you asked just in terms of mix in China, there is a trading down that's happening with the consumer. So that's something that we're looking at just within the brand. So it's not necessarily because Tumi is actually still performing on a relative basis compared to what you hear about luxury overall. It's still doing okay. But within the brands in terms of what the consumer is looking at, there is a trading down that we're seeing, which is the opposite of what we saw coming immediately out of COVID. So that's the other trend that we're looking.
Anne Ling : Got it. Thank you. And my second question is regarding the potential trade tariffs and all that. My understanding is that back in year 2018 and '19, you have already moved most of your product that just definite for U.S. market to other areas outside of China. I think remaining 10%, but if there is a tariff imposed on even for like the non-U.S. area and on China area of over 10%. What is our strategy? And what do you think that the impact will be? How do you mitigate this impact in your view? Thank you.
Kyle Gendreau : Yeah. Well, let me give you -- it's really a 2-part question. One, our sourcing from China, as you have been following us, we dramatically changed that off the back of 2018, '19. So today, what we source from China for the U.S. is around 10% of our sales. So 90% outside of China, we've managed that very, very well. And I think what you saw is the speed and our ability to manage that was really perfectly executed. The whole world is watching what happens with tariffs. My sense is if tariffs move beyond China, it will impact our entire industry. So I think important way to think about this is we'll be able to manage that better than any of our competitors for two reasons. One, we -- our relationships with our suppliers is deep so we can kind of navigate with our suppliers very quickly. We have the ability to really engineer products to hit price positioning. We -- that's one of our real strengths. We have a history of selling close to 30% of what we sell in a year has been either renewed or refreshed or a new collection. So that's one way to navigate. My sense is on tariffs, consumers will feel some of that. This is one of the flaws of the tariff strategy is, I think, across our industry in many industries, if that carries over, that will feed into some of the consumers will offset some of that pressure on that front as well. But I think our bigger scale advantage is our ability to manage that through product offerings and as you know, we operate good, better, best, so we can kind of move consumers within the brand to price positioning. And a lot of this is how do you maintain your price positioning, which is what we were experiencing when we manage kind of the tariff impacts last time. And if you look at our track record for that, it's very, very strong. So my sense is this is where being a leader matters and our scale matters, and we'll manage that as we have in the past.
Anne Ling : Thanks. Thank you very much.
Kyle Gendreau : Yeah.
Operator: Our next question comes from [Indiscernible] with TPG. Please go ahead. Thank you.
Unidentified Analyst : Yeah, hi. I actually had a question regarding tariffs as well. Could you just briefly go through then where your products are made?
Reza Taleghani : So about 15% of the production, and again, it varies depending on the quarter, obviously, but around 15% is in-house. So our factories are a tour in Europe, one is in Hungary, one is in Belgium and then one is in India. The remaining 85% is largely Asia. But when I say largely Asia, Southeast Asia, China, et cetera. So if we're talking about production that's coming into the U.S. specifically, the vast majority of it, as Kyle just said, approaching 90% of it and given time is coming from other countries already. So that would be Thailand, Vietnam, Indonesia, a little bit of India, although that's a little bit less right now. It used to be that we would basically look at the GSP regime and try to see where there's benefit to do that. Obviously, GSP hasn't been renewed. So we look at it in terms of who has the best capabilities to be able to meet our -- we have very stringent quality requirements as you well know. So trying to make sure that they're existing suppliers that we've worked with. There has been a little bit of production that's moved to this hemisphere. So we've looked at different markets, such as the Dominican Republic. But that's really in its infancy on a percentage basis, it's at a very low level right now, single digits in terms of where it is on a percentage in the U.S.
Kyle Gendreau : I think we have to make -- not just for the U.S., but the rest of our business is starting to source from these channels as well. As that infrastructure has been laid out. And as you remember from our 2018, '19 '20 journey, a lot of our same suppliers have shifted production there. And what we're really seeing now is even the adjacent component manufacturers are shifting there. So wheels and handles and some of the component pieces that go into luggage have actually shifted into these markets as well. So we're starting to see some, I would say, the last two years, see some of the real efficiencies that come from that. So it's really strong. So if we pay some tariff pressures there, I might say, not only will we manage it well, but it's becoming even more efficient to be sourcing from these countries as well. So I think there's -- we're in a really good faith there, the team on the sourcing side, not just for the U.S., but our overall business has done a tremendous job of balancing sourcing production.
Unidentified Analyst : That’s great. Thank you very much.
Kyle Gendreau : Yeah.
Operator: Thank you. And our next question comes from Chris Gao of CLSA. Please go ahead. Thank you.
Chris Gao : Thanks management. Good day. I have a couple of questions. Firstly is regarding Tumi. So previously, actually, for the -- one of the important businesses that we're expecting an outperformance of Tumi as both sales margin driver. And this year, definitely we are seeing increasing pressure on Tumi versus Samsonite brand. And in the third quarter, we can see that the pressure is mainly coming from U.S. So over the midterm, how could we map out the growth driver of Tumi? How would you turn around U.S. basically in the short term, while at the same time, your expansion plan of store network meaning in APAC and Europe, would you continue to do that? And also in terms of the branding investment about advertisement costs, so how would you plan that out? This is my first question. And my second question is regarding the dividend policy. So do you still consider improving the dividend payout heading to the midterm in the year 2024, 2025? Thank you.
Reza Taleghani : So let's start with Tumi. Tumi was definitely under pressure in Q3, but I'll tell you that the trend has started to improve. So as we're going into Q4, we're expecting Tumi to start to come back. Our expectations haven't changed for Tumi in the medium term. If you're thinking about next year and beyond, it's going to continue to be a major growth driver for us. We would anticipate it performing probably be one of our top two brands, if not the top brand going into next year. And part of that is, as we said earlier in the year, Tumi faced a very strong comp at the beginning part of the year. And there has been pressure. You're absolutely right in terms of looking at the U.S. market, there has been pressure in terms of the luxury segment in particular to the U.S. for us. We have been encouraged by what we're seeing in Tumi and some of the other regions. When Kyle was going through the slides, you saw what we're seeing in Europe as well as in Latin America. And even in Asia as we're looking at the monthly trends, the monthly trends are getting better. And so as we look at the remainder of this year and really next year, I think Tumi should go back to what we have expected from them in terms of what we've always communicated with you.
Kyle Gendreau : I might add just two things. One, I think Tumi in the medium term is a double-digit growth for us. That's always been in our radar. I don't see us kind of coming off of that. Part of this year's North America numbers were this delay in inventory from the previous year that surged last year's number. So you do have that on top of some softening sentiment. But we're comfortably in positive territory in Q4 for Tumi North America. So I would tell you that we've kind of -- we're steering the ship really well. But the other really important piece is not just expansion, which you will continue to see in Europe, which you saw in our numbers, you'll definitely continue to see that within Asia, but the product offering continues to be a big piece of that story. We have some very exciting product launches coming next year. We've kind of loosely indicated already, but we have lightweight hardside collections launching for Tumi that will definitely be important for our strategy within North America and Asia. It's really a critical piece of the story. And that's coming in a big way and we're really excited about that. We continue to push non-travel and women's collection. There's a lot coming on that front with this brand for next year and the year after. And these are big pieces of the story driver and for us to penetrate, which will not only allow us to fully execute our strategy outside of the U.S., but will have benefits in the U.S. And you should expect us to lean in on advertising as we push this business. It's got the margin profile that we can do that. And so we have zero intentions of slowing down the throttle for driving the Tumi business. So we're pretty excited about it. We're dealing with a bump in Q3, but it doesn't change our perspectives on the brand at all.
Reza Taleghani : And in terms of dividend policy, obviously, we didn't take it lightly when we reinstituted the distribution to shareholders that we have. You should expect that, again, it's subject to board approval every year as it's always been, but we feel very confident in terms of the cash flow generation of this business and the ability to not only make the investments we need in CapEx for the business, but to also pay a distribution to shareholders. And if anything, you've seen us actually for the first time in the company's history, the institute share repurchase on top of that. So I think the dividend is safe as what I would say. And in terms of -- as we look at where our share price is currently trading, opportunistically, we're obviously out trying to make sure that we return cash to shareholders in terms of also having the share repurchase going as well, which will continue for the remainder of this year as well and still have enough cash to delever. So we feel very good overall in terms of the financial metrics as we look at free cash flow generation.
Chris Gao : Thank you. So I just want to quickly confirm if the 7% advertisement expense ratio still unchanged?
Kyle Gendreau : For next year, you should expect that we're there we'll be a little lower this year. We just throttled back a bit as we were feeling some of the headwinds. So we'll be a bit lower than that for this year. But for next year, that would be our intention.
Chris Gao : Thank you very much. This is helpful. Thank you.
Kyle Gendreau : Thank you.
Operator: Thank you. And our final question today comes from Perry Yeung with UBS. Please go ahead. Thank you.
Perry Yeung: Hi, thank you for taking my question. It is indeed quite encouraged that we see some improving trend in Q4. So like follow-up question on that note really is on the Indian market situation. Obviously, we are seeing a very intense competitive pressure. But at the same time, we do notice that the competitor is running at a very high inventory level and also the EBIT is not doing well, and it is not so much sustainable in terms of such discounting activities. So I guess my question is in to Q4 do we see some -- at least some stabilization in terms of the India sales performance? I understand management did mention that it's still under pressure, but I just want to see if there's any sequential improvement?
Kyle Gendreau : No, I think for Q3 and Q4, we'll look about the same for India. We're definitely seeing those pressure points. And I think your comments are exactly right. In many ways, it's not sustainable what's happening in the marketplaces, this level of discounting deteriorating profitability. We've taken a road very carefully to manage it, but not allow our profit profile to diminish. And so we clearly are a little lower than what we were running, but we're not just chasing it down the hole. And what we start to see twofold is, one, it's not really sustainable, not only for competitors, but even for the distributors that are selling the product because as that continues to slide down, the profitability there is not a win for anybody, including the third-party sellers. So all of a sudden, our strategy has a better feel to it because it's more sustainable. And so we've been very disciplined. It's not that we're not leaning in. So you will see us and again, Q4 will look like Q3. So I would say kind of at the bottom of the trough. We'll have a better year next year, obviously comping an easier number. But I think you will see sequential improvement as the year goes on in India off the back of product initiatives. As you know, in that marketplace, we use a brand called Kamiliant. We're being a little bit more aggressive with the Kamiliant brand from a positioning perspective, but maintaining margin profile. We also, as you saw us last year and into this year, we have expanded our production capacities within India. We're launching some really interesting and exciting products that I think can be kind of industry-leading within the India market that will start to show up in Q1 and Q2. So a combination of really exciting and interesting product offerings. Continued discipline on margin profile, but leaning in with offerings and leaning in with our relationships with our distributors to move the needle. So I don't think it will be a massive transformation next year, but I think you'll move into a different territory than what we're seeing right now. And I think that's the level to manage inventory. I mean, in India, we have to just manage carefully -- manage margin profile and deliver a product that matches what we're looking to do on the branded space. So I think it's all well managed. It's -- India is the only market in the world that was really dramatic and we can see it. I might remind you that our India business is up 3 times to what it was in 2019. So it's all against this really large scaling business and that was off of last year. And so it's up against this huge number of the year before. But the competitive pressures are there. We'll feel it in Q4, and you'll see an improving trend as we get into next year. And the team is laser-focused on it. So I think we'll deliver a better result next year, but it's not going to be a magical transformation. It will require some real effort from the team.
Perry Yeung: That's interesting. And I guess my second question is more related to the shareholder return. So obviously, you are actually generating the strong free cash flow and would the company consider to scale up the buyback program. Obviously, you had a $200 million program in place. But I'm just curious as to whether management will consider to scale up the buyback program in the coming months or quarters?
Kyle Gendreau : Well, I think we have an intention to move our share price up, so maybe we're doing a little less than that. But I think it becomes an interesting piece of our capital allocation strategy so that we can incorporate not just that, but distribution to shareholders, we can look at payout ratio. I think somebody was asking that question. We started last year or this year with a payout ratio that's a little lower than what we were doing before. My sense is that can creep up over time. But the combination of the two, I think we can kind of keep in play. I think we'll know better as we get into next year and get on the other side of a potential dual listing and just see where we're sitting. So I don't want to commit to kind of expanding, but I do think it becomes an interesting piece of our story on returning cash to shareholders against the business that has a tremendous capability to generate cash.
Reza Taleghani : I would just add one point that in terms of the liquidity of shares, I mean we had said $200 million, we're still trying to get $200 million because there are limits as you may be aware in Hong Kong and how much you can buy in any given day. So it just takes a while to just execute on the amount that's already been approved as well.
Perry Yeung: I think that’s very helpful. Thank you very much.
Reza Taleghani : Thank you.
Kyle Gendreau : Thank you. William?
William Yue: Yeah, that's it. Thank you very much Kyle and Reza. And thank you very much, everyone, for joining the call tonight. And with that, we are signing off now.
Reza Taleghani: Great. Thank you, William. Thanks, everybody.
Kyle Gendreau: Bye-bye.
Operator: Thank you for your participation. This concludes our conference. Goodbye.